Operator: Hello ladies and gentlemen. Thank you for standing by for the First Quarter 2021 Earnings Conference call for XPeng Incorporated. At this time, all participants are in listen-only mode. After the management's remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Mr. Zilin Ma [ph] Director of Investor Relations of the company. Please go ahead Mr. Ma.
Unidentified Company Representative: Thank you. Hello everyone and welcome to the XPeng's first quarter 2021 earnings conference call. Our financial and operating results were issued by newswire services earlier today and are available online. You can also view the earnings press release by visiting the IR section of our website at ir.xiaopeng.com. Participants on today's call will include our Co-Founder, Chairman, and CEO, Mr. Xiaopeng He; Vice Chairman and President, Dr. Brian Gu; Vice President of Finance, Mr. Dennis Lu; and Managing Director of Strategy, Mr. Charles Zhang and myself. Management will begin with prepared remarks and the call will conclude with a Q&A session. A webcast replay of this conference call will be available on the IR section of our website. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provision of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the relevant public filings of the company as filed with the US Securities and Exchange Commission. The company does not assume any obligations to update any forward-looking statements except as required under the applicable law. Please also note that XPeng's earnings press release and this conference call include the disclosure of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. XPeng's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. I will now turn the call over to our Co-Founder, Chairman, and CEO, Mr. Xiaopeng He. Please go ahead.
Xiaopeng He: Hello, everyone. Thank you for joining XPeng's first quarter 2021 earnings conference call today. Heading into 2021, the electrification as modification are accelerating the disruption of internal combustion vehicles. Notably in much the penetration rate of high energy passenger vehicles in China surpassed the 10% threshold for the first time. The EV adoption in top tier cities experienced a record high growth with the penetration rate reaching around 20%. Being part of this unprecedented disruption opportunity, I strongly believe that XPeng is well poised to lead the development and transformation of the industry. My belief is firmly underpinned by our long-term strategic investment and the leadership in smart EV technology that we have been building out over the past years. Our strong momentum continued in the first quarter of 2021 with another quarter of record vehicle deliveries, despite traditionally slower season demand and challenges of industry-wide chip shortage. Our total vehicle delivery number in the first quarter reached 13,340, representing a 487.4% year-over-year increase consisting of 5,366 G3s and 7,974 P7. According to the new car insurance registration data reported by China Automotive Technology and Research Center in terms of volumes, the G3 ranks number one amongst a Class BEV SUVs, and the P7 ranked number three among B Class BEV sedans in Q1. We attribute this outstanding performance to our industry leading full stack in-house developed software technology and our solid differentiated product strategy. Fueled by strong delivery growth, our revenue reached RMB2.95 billion in Q1, represented -- representing year-over-year and quarter-over-quarter growth of 616.1% and 3.5%, respectively. Meanwhile, our profitability continues to improve highlighted by a gross margin of 11.2%, an increase of 3.8% from the prior quarter. On January 26, we began to push OTA updates for XPILOT 3.0 to our customers and started to recognize revenues from XPILOT software. As such, our vehicle revenues in the first quarter now includes software revenues for the first time in our history. I believe that XPeng is the only Chinese automaker that has been able to charge full stack self operated autonomous driving software separately. Since mass deliveries of the P7 began in June 2020, we have delivered over 23,000 P7s as of March 31. And on a cumulative basis, the attach rate of XPILOT 3.0 has exceeded 20% as of March 31. Such attach rate increased to approximately 25% in March 2021. I believe that XPILOT software monetization will become a recurring revenue model and generate profits in addition to our sold vehicle. Going forward, building on our rapid technology innovations powered by all full stack in-house R&D capabilities, and hardware software integration solutions will rollout XPILOT 3.5 and XPILOT 4.0. Our next generation of autonomous driving technologies in the next few years. Our XPILOT will make the advanced autonomous driving experience accessible across a wider range of those scenarios and ultimately bring about end-to-end highly automated driving. They will also help to further distinguish our brand leadership in the smart EV market. Next, I'd like to share our latest achievements in technology advancements for smart EVs. Since launching our navigation guided pilots for the highway or NDP in late January this year, NGP has assisted our customers in driving 2.3 million kilometers, which is approximately 1 million kilometers a month with the NGP-assisted mileage penetration rate exceeding 50% amongst those P7s that activated as of March 31, 2021. This strong usage frequency not only reflects the broad applications of NGP, but also testify to the satisfaction and trust customers have in using it. In March, we successfully accomplished our NGP guided expedition across highways from Guangzhou to Beijing. This expedition of over 3,000 kilometers marks the nation's longest of its kind. During the entire expedition, the NGP human intervention was only 0.7x per 100 kilometers on average. Notably, more than 90% of autonomous lane changes, overtaking other vehicles, switching ramps and going through tunnels were executed successfully, which I believe outperform all other mass-produced autonomous driving system in the market. Here I would like to highlight the strategic importance of our capability of deploying our autonomous driving technologies on mass-produced vehicles. Through those vehicles equipped with NGP capabilities, we're able to collect highly valuable cases when our customers using NGP. We're now able to achieve fast iterations of our algorithm on a weekly basis based on our advanced closed-loop data capabilities. With a growing number of P7s on the road, I believe XPeng will have the largest and a fast growing Smart EV fleet with close-loop data capabilities on China's road networks. Recruiting and retaining excellent technical talent is the foundation of our ability to lead innovations in technology and development in the smart EV industry. As of March 31, 2021, our R&D team represent approximately 40% of our total headcount. With our firm commitments to build a strong R&D team, we aim to strengthen our leadership and cutting edge innovations, including electrification and modification for Smart EVs and further technological leadership in the industry. We'll be able to continuously introduce new vehicle models featuring more powerful hardware to support our fast iteration of software. At the Shanghai Auto Show on April 19, we unveiled the P5, the world's first mass-produced body equipped with LiDAR. The market warmly welcome The P5 with enthusiasm supporting pre-order reservations that exceed our expectations and surpassed 10,000 in just 53 hours following its debut. The P5 is designed as A plus Class sedan with a roomier inner space than most of the B class sedans in the market. For more advanced autonomous driving systems and smart cockpit technology and roomy space we have created for our customers a completely new experience of a smart safe space beyond their homes and workplaces. Our customers can now use this great space to take a nap, watch films like in a private cinema and enjoy outdoor camping and more. We plan to start deliveries of the P5s in the fourth quarter of this year. Additionally, we plan to start internal user testing of XPILOT 3.5 with NGP autonomous driving capabilities on the major urban roads at the end of this year and release the OTA updates at the end of next year. In our continuing efforts to improve software and engineering performance, we provide customers with the most powerful mass-produced autonomous driving system available with China's road system at an attractive price point. Such approach significantly differentiate us from many of our peers. In addition, we're making solid progress in the research and development of our next generation autonomous driving hardware platform and next generation powerchain system, including high voltage and super charging system. We look forward to updating you on these developments in due course. As the smart EV market continues to grow fast, we are accelerating the build out of our infrastructure facilities as part of a long-term strategic roadmap and investment. As of March 31, XPeng's physical sales and service network consists of 178 sales stores and 61 service centers across 70 cities in China. Of 178 stores, 88 were directly operated by us. Normally in this regard, in April, we enter into a long-term strategic partnership with China's biggest auto dealership company, the Zhongsheng Group. Actually this partnership will serve to provide both XPeng's industry leading smart EV products and Zhongsheng's high-quality services to consumers across China and further accelerate smart EV adoption. We remain committed to expanding our nationwide sales network to approximately 300 stores, covering 110 cities by end of the year. We also continue to expand our supercharging network. As of March 31, number of XPeng branded supercharging stations expanded to 172, covering 60 cities. Additionally, our free charging program has been available on more than 1,000 supercharging stations as of April 30 this year covering over 160 cities. We expect that there will be more than 500 XPeng branded supercharging stations by the end of this year. In terms of production, at our Zhaoqing factory, we have completed upgrading the production line so that they can produce both the P7 and the aforementioned P5 concurrently. We now are conducting trial production runs of the P5 model. We believe our manufacturing costs will be meaningfully declined when we're able to produce the P7, P5 and the new G3 at the same production plants. In addition, with financial support from the Wuhan government in April, we enter into a cooperation agreement with the City of Wuhan to build our third factory there. The new manufacturing base will continue -- will contain both manufacturing and powertrain plants and have an annual capacity of 100,000 units. With funding support from local governments in Wuhan and Guangzhou, we will expedite investment and construction on our plans in these two cities. When fully completed, XPeng's three factories located in Zhaoqing, Guangzhou and Wuhan will have a total annual design capacity of 300,000 units. Moreover, with minimal factory revamps and increased work shifts, the potential peak output can come close to 500,000 units in total. This provides us an excellent foundation for which we can catch a widespread demand in the transformation towards smart EVs. Turning to our overseas development. In the third quarter, we exported more than 300 G3s to Norway. We plan to start deliveries of the P7 to Norway in the second half of the year. Moving forward, we will actively boost our efforts in Norway and other European markets to expand our local sales, delivery and service mechanisms. As smart EV designer and manufacturer that knows China better than any other peer, XPeng will remain focused on delivering differentiated and smart products built upon our industry leading autonomous driving technologies that meet vast market demands. This relentless effort will further our mission to shape the mobility experience of the future. Now moving on to our guidance. Excluding pre-orders reservations of the P5s, we are already seeing a historical high of our order backlog. We will strive to ramp up production and minimize the impact from industry-wide shortage. In the second quarter of 2021, we expect our smart EV deliveries to be approximately 15,500 to 16,000 units, and our total revenue to be approximately RMB3.4 billion to RMB3.5 billion. With that, I'll now turn the call over to our VP of Finance, Mr. Dennis Lu, to discuss our financial performance for the first quarter of 2021.
Dennis Lu: Thank you, Xiaopeng He. Hello, everyone. XPeng's robust performance in the first quarter of 2021 demonstrates our strong capability to make differentiated Smart EVs that appeal to various needs of the large and growing customer base. Thanks to our record-breaking deliveries in the traditional weak season. In Q1, we witnessed the quarter-over-quarter increase in our top line and further improvement in our profitability. In particular, our gross margin continued an upward trend sequentially, hitting double-digits in the quarter. Additionally, for the first time revenue from our XPILOT software were recognized in top line and reflecting in gross margin, making a significant milestone in our Chinese EV industry. Moreover, our sound financial condition and strong cash position enable us to better execute our growth strategies, cement competitive advantages and seize tremendous growth opportunity in the Smart TV sector. Now I would like to walk you through our detailed financials for the first quarter of 2021. Total revenues were RMB2.95 billion for the first quarter of 2021, representing an increase of 616% from RMB412 million for the same period a year ago, and an increase of 3.5% from RMB2.85 billion for the fourth quarter of 2020. Revenues from vehicle sales were RMB2.81 billion for the first quarter of 2021, representing an increase of 655% from RMB372 million for the same period of 2020, and an increase of 2.7% from RMB2.74 billion for the first quarter of 2020. The year-over-year increase were primarily due to delivery of the P7, which started at the end of June last year. The quarter-over-quarter increase was primarily attributable to the revenue recognition of XPILOT 3.0 software in the first quarter of 2021 since the functionality was fully delivered to the accumulated group of the software purchasers, partially offset by the lower government subsidy for the new energy vehicle starting from January this year. Gross margin was 11.2% for the first quarter of 2021, compared with negative 4.8% for the same period 2020 and 7.4% for the first quarter of last year. Vehicle margin was 10.1% for the first quarter of 2021 compared to negative 5.3%, for the same period of 2020, and 6.8% for the fourth quarter of 2020. The improvement was primarily attributable to the material cost reduction and revenue recognition of the XPILOT software sales. Research and development expenses were RMB535 million for the first quarter of 2021, representing an increase of 72% from RMB311 million for the same period of 2020, and an increase of 16% from RMB460 million for the first quarter of 2020. The year-over-year increase was mainly due to: number one, the increase in employee compensation as a result of expanded research and development staff. Number two, higher expenses relating to the P5 development; and number three, share-based compensation expense recognized in the first quarter of 2021. The quarter-over-quarter increase was mainly due to: number one, increase in employee compensation in line with increasing engineering staff; and number two, high expenses relating to the development of the P5. Selling, general and administrative expenses were RMB721 million for the first quarter of 2021, representing an increase of 124% from RMB322 million for the same period 2020, and a decrease of 22% from RMB918 million for the first quarter of 2020. The year-over-year increase was mainly due to: number one, higher marketing, promotional and advertising expensive to support vehicle sales. Number two, the expansion of our sales network and associated personnel cost, lease expenses for sales and service stores, and commission for the franchised stores. And number three, share-based compensation expenses recognized in the first quarter of 2021. The quarter over quarter decrease was many due to lower marketing, promotional and advertising expenses compared with the peak sales season in the first quarter last year. Loss from operations was RMB904 million for the first quarter of 2021 compared with RMB649 million for the same period of 2020 and RMB1.1 billion for the first quarter of 2020. Excluding share-based compensation expenses, the non-GAAP loss from operations was RMB814 million for the first quarter compared with RMB649 million for the same period of 2020 and RMB1.1 billion for the fourth quarter of 2020. Net loss was RMB787 million for the first quarter, compared with RMB650 million for the same period a year-ago and RMB787 million for the first quarter of 2020. Excluding share-based compensation expense, the fair value change on derivative liabilities related to the redemption right of preferred shares and non-GAAP adjusted net loss was RMB696 million for the first quarter of 2021, compared with RMB645 million for the same period a year ago and RMB713 million for the fourth quarter of 2020. Net loss attributable to the ordinary shareholders of XPeng Incorporation was RMB787 million for the first quarter, compared with RMB935 million for the same period of 2020 and compared with RMB787 million for the fourth quarter of 2020. Excluding share-based compensation expenses, fair value change on derivative liabilities related to the redemption right of preferred shares and accretion of the preferred shares to redemption value, the non-GAAP net loss attributable to the ordinary shareholders of XPeng Incorporation was RMB696 million for the first quarter of 2021, compared with RMB645 million for the same period of 2020 and also RMB713 million for the fourth quarter of 2020. Basic and diluted net loss per American depository share were both RMB0.99 for the first quarter of 2021. The non-GAAP basic and diluted net loss per ADS were both RMB0.88 for the first quarter of 2021. Each ADS represents two Class A ordinary shares. Now turning back to balance sheet. As of March 31, 2021, our company had a cash and cash equivalents, restricted cash, short-term deposits, short-term investments and long-term deposits in total of RMB36.2 billion compared with RMB35.3 billion as of December 31 last year. To be mindful of the events of our earnings call for our first quarter financial results, I will encourage listeners to refer to our earnings press release for further details. This concludes our prepared remarks. We will now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] The first question comes from the line of Jeff Chung with Citi.
Jeff Chung: Hi, excellent results. This is Jeff from Citi. So I have two questions. The first question is about the software. Can you break down software revenue and gross profit in first quarter this year? More specific, how much software revenue was derived from first quarter this year and how much from the rest of the 2020 ended GP margin? How should we see this software income and profitability in the second quarter and the second half? This is my first question. Second question is about the vehicle GP margin. It seems that the G3 equipping with the LFP is accretive [ph] to the GP margin. So how much faster compared with the LCM battery? Secondly, in the 1Q announcement, you mentioned that the first quarter cost of goods sold came down Q-o-Q due to lower material costs. Could you quantify a bit in terms of what kind of materials leading to lower cost and how would you see the cost trend into the second quarter?
Dennis Lu: Okay. Thank you, Jeff. Very good questions. I will try to handle the questions and then Brian or Charles or Xiaopeng He can supplement later. Number one is the software. Actually, in Q1, our total revenue from the XPILOT 3.0 software was about RMB80 million. Among that some RMB50 million was from those contracts we purchased -- the customer purchased last year and the other of around RMB30 million is from those software we sold this year. So, in general, the software accounts for about 2.5 percentage points of the margin. Among the 2.5 points, 1.5 will be contributed from those contracts we sold last year. And the other 1 percentage point is from those contract we sold in the first quarter because we have very good NGP skin from the Guangzhou to Beijing. We are seeing the software and also the hardware for the XPILOT is increasing actually in March and also in April. So we foresee the software penetration will be even higher in the second quarter. But again in the first quarter the total revenue or the total margin includes around 3,000 units of those software we -- the customer purchased last year. So the second quarter, we're not as high as 2.5%, but definitely will be higher than 1 percentage points for the first quarter. That's number one. The second question is for the G3. Yes, in -- actually we have material advantage compared with the LFP battery versus the LCM battery. But I cannot tell you the exact number. We’ve seen, for example -- we maintain the same MSRP -- same available marketing. However, we have the better material cost. So that would improve our -- the G3 margin as well. We started the delivery of the RFP G3 in April. So we can -- we will foresee the margin improvement for G3 in the second quarter. And number three is for the material cost reduction. Yes, we have the material. Good news compared with the Q4. The good news is primarily from the battery cost reduction. We actually -- we negotiate with our battery supplier to get the battery cost reduction. That basically was the negotiation was completed earlier this year. So we have some material cost reduction. The percentage will be from 5% to 10% in terms of the cost reduction versus the level at the end of last year. I hope I answer your questions.
Jeff Chung: Thank you. No more questions. Thank you
Operator: The next question comes from the line of Edison Yu with Deutsche Bank.
Edison Yu: Thank you and congrats on the quarter. First question is, could you give us an update on the LiDAR testing and validation with Livox? Is it meeting your performance requirements? And are you confident that the P5 with a LiDAR on it will be hitting the streets in the fourth quarter? And then second question is on the reservation number. I know you disclosed it shortly after the release. Could you maybe provide us an update? And if it's not the exact number I know you don't give that, but some sense of relative to your own expectations. How much higher is this number tracking? I will translate.
Xiaopeng He: So we’ve the tested multiple LiDARs of different brands and we compare them by different parameters in terms of their human cost craftsmanship, their costs and also their capability of being mass-produced. And so the LIDAR we use on P5 is actually DJI, Da-Jiang and we are very open to other options. So by 2022 to 2023 the new models that we are launching may adopt different brands that make -- that produce LiDARs. So basically we're very confident that right now with our capabilities of all around full spec sensing performance on our vehicles and also on our production capabilities, we can actually be complimentary to some of the LiDAR technology shortage for LiDAR technology disadvantage out there. However, in the long run we hope that we can achieve a good balance between the cost of the technology and the capability of being mass-produced, at the same time we can achieve a well-balanced amongst different performances across different parameters.
Xiaopeng He: So we are very confident that by Q4 this year we can launch P5 equipped with LiDAR. And regarding your second question about reservation number, obviously we can't disclose the exact number, but compared to P7 launch on the Shanghai Auto show last year in the same period, actually P5 reservation number is a few times more than that of P7.
Xiaopeng He: And also getting the feedback from our frontline sales force, the same periods last year when we first launched P7, they do feel some pressure from the market regarding the price of P7. However, this year with the launch of P5, every single feedback has been very positive regarding the launch of P5. So we're really confident that the actual performance in terms of orders and deliveries of P5 will be very, very encouraging.
Edison Yu: Many thanks.
Operator: The next question comes from the line of Tim Hsiao with Morgan Stanley.
Tim Hsiao: Hi, management team. Congratulations on a solid result and thanks for taking my questions. So my first question is about the components. Because compared to other EV startup peers, XPeng this year apparently have much more new models and basically -- especially in second half. So while we expect the chip shortage will ease in second half, but what else has XPeng done to ensure other major components for either facelift for new launches, we’ve sufficient components supply later this year, especially I think there a lot of new models will also be coming to the market in the second half. My second question is just a quick follow-up on the guidance. What kind of visibility do we have so far on chip supply? How much inventory do we have at the moment to support the production plan throughout a whole second quarter and meet the guidance of a sequential volume growth into the sequential volume growth?
Xiaopeng He: Thank you for your questions. Regarding the shortage in chipsets, basically it is now a big challenge for all the automakers out there, and nobody out there can really promise that they can solve the problem in a short time. And for smart EV manufacturers, actually, I think Q2 -- upcoming Q2 will be the most challenging timing. And we hope that by Q3 this year, things will get better. However, if not, then Q1 next year maybe things will become -- the tension may become more released. So in order to prevent ourselves into getting into a difficult situation, we have done several measures. For example, we have made a lot of pre-orders with our existing suppliers. We communicate directly with the supplier -- the head of different suppliers of chipsets to make sure that we have enough inventory and orders coming place to support our future development and production. And also because we have a lot of closed-loop automated R&D technology that allow us to be really flexible in adapting to different chipsets in manufacturing our vehicles, we are able to actually look out for new partners and new manufacturers of chipsets so that we can actually become more adaptive to market change and to this chipset shortage. So in the long run, we believe that and we have confidence that these can be resolved, but we can't promise anything right now.
Brian Gu: Hey, Tim, this is Brian. I just want to add in terms of the guidance we gave for this quarter, we have considered the constraints of the chips shortage situation that Xiaopeng described. So that reflect the constrained numbers. Without constraints, obviously, the delivery number will be higher than what we have given out. But on the other hand, I think the chip shortage visibility is still -- are not very clear. So it will be subject to changes. So we keep a very close eye on the situation.
Xiaopeng He: Now in terms of other components as we deliver more new models in Q3 or Q4 this year, we are going to face some constraints in terms of other components other than chip shortage. For example, one important thing is the battery supply. Right now we are using LFP for some of our vehicle models and the ramp up of the adoption of LFP -- sorry, will take about one quarter. And so by Q3 this year, we estimate that we will reach a comfortable level of adopting the LFP batteries. And also the market demand for LFP battery is actually larger than expected. And that is why in Q3, Q4 this year, we are going to be able to reach a more comfortable level of production adopting this new battery. And as was mentioned by Brian before, our guidance for this year later on actually included the calculation of all of those components that I've mentioned.
Tim Hsiao: Great. Thank you, Mr. He and Brian. Thank you.
Operator: The next question comes from the line of Nick Lai with JPMorgan.
Nick Lai: Yes. It's Nick here. My two simple question, and the first question is margin impact of chip shortage and related price hike. And I guess the management, Brian and Mr. He had already answered part of that question regarding chip supply. And so maybe just on margin outlook in light of the [indiscernible] raw material price, can you give us some indication or guidance how do you mitigate such kind of a high price -- material price headwind? And the second question really regarding the business model, XPILOT 3.0. At the moment our customers pay roughly around RMB20,000 to get XPILOT 3.0 service. I'm curious as we launch or roll out XPILOT 3.5 or 4.0 in the future, do customer have the ability to pay that on demand or more on subscription model?
Dennis Lu: Hey, Nick, this is Dennis. Let me handle your first question. Actually, in our first quarter margin, we did not have the material impact on the margin due to the chip or the raw material. So, not in the first quarter. But looking at the second quarter, we do have some impact due to the raw material for example, the steel, the aluminum, those component -- those low material, some slight cost impact to our margin. And also in terms of chip we are also sourcing some alternative chip and also probably to help our supplier to get chip. So there are some material -- some costs increase. But in total, these two components together, the impact will be less than 1 percentage points in terms of margin. The amount is somewhere around RMB1,000 to RMB1,500, but less than 1% of the margin impact to the second quarter. For the third quarter, we need to close the monitor, but the situation probably won't be released in the third quarter.
Xiaopeng He: So let me take the second part of your question. Actually, in my opinion, paying by on demand model or a subscription model will actually cost our customer more than paying a one-off fee for that software and service charge. Going forward, we are also considering other service charge possibilities, and we will communicate in a timely manner where we have to update to the market. Thank you.
Operator: The next question comes from the line of Bin Wang with Crédit Suisse.
Bin Wang: My question is about some serving capability after XPILOT more to the 3.5 XPILOT, what was the comparison between a [indiscernible] solution and quality solution compared to XPILOT 3.5 open NGP. Thank you.
Xiaopeng He: Now, actually, in terms of XPILOT 3.0 and its functionality, we will have an official release when we launched the P5 later on this year. However, right now, I can comment on different solutions and different criteria for evaluating different solutions. Basically, we have to balance several things or several aspects. First of all, you have to look at the combination of different functionality. Second of all, you have to combine the -- you have to look at their integration of the hardware and software and the overall cost of using the solution. The third aspect is that you have to look at the scenario of the usage or the scope of the usage of that particular solution. Last but not least, you have -- also have to take into consideration the data feedback from the users whether or not they consider it a good experience to use that particular solution. Now in the market right now, you might come across some videos or some solutions that claim that they're doing very good in certain aspects, but that is only in certain functionality or at a very high cost. Right now what XPeng is trying to do is that we are coming up with solutions, our autonomous driving that can balance all of those aspects at a reasonable cost so that we can deliver the most superior experience in terms of autonomous driving to our customers. And we are launching different versions and we want to go into the future where we can actually use these technology to support not just GP, but also to cover all of the urban roads in China and then later on to all terrains of traffic roads in -- scenarios in China and even go above that to go to the global scenario and scope. And so that is an art, if I may, to balance all these different aspects in order to achieve the best solution for our customers.
Bin Wang: Thank you.
Operator: The next question comes from the line of Ming Lee with Bank of America.
Ming Lee: Okay. My question -- I have two questions. The first question is regarding the mid period Q3 upgrade. So, when will you start to do this and will you use the contract manufacturing business model? Or you will use your own capacity to make a trade? And if you manufacture by yourself, will it be margin neutral or is slightly helpful to your margin? And the second question is regarding the LFP battery orders. Last time, during your earnings call, you mentioned that around 10% of orders of Q3 is for LFP battery version, and the 20% orders of P7 is for LFP battery version. So after 2 months, do you see any structural change regarding on your other combination? Thank you.
Xiaopeng He: So about the newer version of -- okay, about the newer version of G3, we actually wouldn't do any upgrade in terms of its autonomous driving capability because we hope that by the next time, another newer upgrade of G3 will able to support higher level of autonomous driving. And regarding the second part of your first question, if we were to produce the next version or next model of G3 in our own battery, definitely the margin will be improved. And it will also impact other models gross margin as well in a very positive manner. And the second question regarding the demand for LPS battery, right? Basically, we've seen more demand for that battery than expectation. So for G3 and P7, that number, that order for LPS -- LFP definitely have surpassed that we have -- surpassed that was disclosed in last conference call. And so right now we are in the process of negotiating with a lot of the battery suppliers and hopefully that they can ramp up their capacity of production of that battery, so that we can support that order demand for Q3 this year. In the long run, we are very confident that actually demand for LFP will continue to go up. And we are very confident that it will help us to drive up the margin in general. Thank you.
Brian Gu: So, Ming, this is Brian. Let me just add on the LFP battery front, what we see is that the increased demand is actually additive to our existing demand was the NCM battery powered models. In fact, we have not seen the number of NCM models decline as a result of the launching of LFP batteries. We believe that LFP battery actually expanded our customer base and the reach because of the wider pricing. And also I think given the capacity ramp up, we think the mix will reach probably steady state percentage by sometimes in third quarter. And that's where we think we will see the most significant contribution on volume side.
Ming Lee: Thank you, Brian.
Operator: As there are no further questions, now I would like to turn the call back over to the company for closing remarks.
Unidentified Company Representative: Thank you once again for joining us today. If you have further questions, please feel free to contact XPeng's Investor Relations through the contact information provided on our website or the TPG Group Investor Relations. Thank you.
Operator: This conclude today's conference call. You may now disconnect your line. Thank you.